Operator: Good morning, and welcome to the Lindblad Expeditions Inc., Second Quarter 2021 Financial Results Conference Call.  Please note, this event is being recorded. I would now like to turn the conference over to Craig Felenstein. Please go ahead, sir.
Craig Felenstein: Thank you, Chris. Good morning everyone and thank you for joining us for Lindblad's 2021 second quarter earnings call. With me on the call today is Dolf Berle, Lindblad's Chief Executive Officer; and Sven Lindblad Founder and Co-Chair of Lindblad Expeditions. Dolf will begin with some opening comments and then I will follow with some details on our financial results and liquidity before we open the call for Q&A. You can find our latest earnings release in the Investor Relations section of our website. Before we get started, let me remind everyone that the company's comments today may include forward looking statements. Those expectations are subject to risks and uncertainties that may cause actual results and performance to be materially different from these expectations. The company cannot guarantee the accuracy of any forecast or estimates, and we undertake no obligation to update any such forward-looking statements. If you would like more information on the risks involved in forward-looking statements, please see the company's SEC filings. In addition, our comments may reference non-GAAP financial measures. A reconciliation of the most directly comparable GAAP financial measures and other associated disclosures are contained in the company's earnings release. That out of the way, let me turn the call over to Dolf.
Dolf Berle: Thanks Craig and thank you all for joining us this morning. As most of you know, this is my first earnings call since joining Lindblad in May, and I'm excited to begin establishing a dialog with the investment community, while providing an update on our business. It's a great privilege to succeed, our founder and now co-Chair of Lindblad Expeditions Sven Lindblad in the CEO role. I would like to publicly thank Sven for his partnership thus far and for his very generous efforts and helping me onboard as leader of this remarkable company. Over the past 40 years, Sven has built the preeminent expedition travel business that is the gold standard for providing high quality and immersive experiences in the world's most extraordinary destinations. I look forward to partnering with Sven, his Co-Chair Mark Ein, the Lindblad Expeditions team and our Board of Directors, as we continue to build the company and explore the wonderful potential we all believe is ahead of us. My professional background has been focused on growing companies that I describe as being in the joy business and being able to serve as CEO for the company that pioneered expedition travel fits well with my experience. The opportunity to lead Lindblad also embodies two important themes in my life. First, I have a deep personal connection with Lindblad's mission to help preserve our planet and educate people across the world about the natural wonders that we must protect. In my youth, my father served as the Environmental Commissioner for the State of New York, and then as the President of the National Audubon Society. So I grew up in an environmentalist family. Secondly, I have devoted the majority of my professional career to creating memorable guest experiences. Lindblad does this on a grand scale, creating true life experiences for our guests and I consider it a great honor to build upon what Sven and the team have delivered for so many years. In my first 10 weeks with the company, I have been focused on learning about our team, our product, our guests, the work processes inside the company, our partners, the industry in which we operate and our competitive positioning. As you can imagine, I have also been very focused on supporting our team as we ensure a strong return to operations during the COVID-19 pandemic. This is actually the second time I have done this as my previous company, Topgolf, did just that throughout 2020. Before I discuss where we are today, I do think it is important to highlight that the thorough plan the company has been executing during the pandemic, which included swiftly reducing costs across all aspects of the business and opportunistically raising capital is enabling us to return to operations as a vibrant company poised to regain the momentum Lindblad was delivering prior to pandemic and with ample liquidity in support of long-term growth initiatives. Craig will walk you through our financial position in a moment, but while COVID is not yet in our rear-view mirror, we have returned to sailing with over $200 million in cash on our balance sheet. We are tremendously excited to once again be taking guests to the world's most remarkable destinations. We began in early June with two ships in Alaska and one in the Galapagos. And given the significant demand for our Alaska itineraries, we were able to quickly launch our two remaining U.S. ships shortly thereafter. And that momentum has continued throughout July. I'm happy to say that today, we have eight out of our nine ships operating across Alaska, the Galapagos and Iceland. Our ability to return to operations so quickly once the opportunity presented itself is a testament to the hard work and dedication of our employees, the relationships we have cultivated globally over the last four decades, the robust protocols we have continually developed over the past 16 months, the flexibility we have as a company, given the size of our ships and the destinations we visit and the desire of our loyal guests to return to exploring the world's most amazing geographies. A great example of our nimbleness is the launch of our newest expedition ship, the National Geographic Endurance. She was delivered last March, and we have been eagerly waiting to have guests experience all she has to offer. Her original post-COVID voyage was scheduled to be the Northeast Passage, followed by the exploration of the Arctic. But due to restrictions in Norway and Russia, we have to quickly come up with new options. The expedition team worked diligently to develop unique itineraries in a geography we have been traveling to for years, Iceland. And then we reached out to guests, scheduled on the original departure to see if they would be interested in joining us on the amended voyage. This could have been particularly challenging as many of the guests on these voyages had already been to Iceland and many multiple times, but the response was overwhelmingly positive, and the Endurance is now poised to enjoy its new summer season. Before moving on, I would like to mention that the feedback we are receiving regarding the Endurance and what she has to offer has been phenomenal. The Endurance, along with her soon to be delivered sister ship, the National Geographic Resolution, represent a new standard in Polar-class vessels and expedition ships in general. She is technically innovative, including her unique X-Bow design, which allows us to reach even more remarkable destinations deep in the Polar Ice, and the guest amenities and accommodations set a new standard for our industry. She is a marvel in every way, and we are excited to finally have guests on board. On the Endurance, and across every geography and ship we operate, the protocols we have put in place to mitigate the risks for our guests and crew while enabling the immersive experiences our guests are accustomed to have held up very well. Among other stringent protocols, we are requiring 100% of our guests, 12 and over, and all of our crew to be vaccinated, while also requiring negative PCR tests 3 to 5 days ahead of embarkation and negative antigen tests immediately prior to boarding our ships. These company mandates are in addition to local, state, national and international standards that may apply. We are also well prepared to handle any COVID-19 circumstances that arise, and we have had to do so on a couple of occasions. The health and safety of our guests, crew and staff is certainly our first priority, but delivering amazing experiences that foster conservation and awareness is a close second, and it is so rewarding to hear all the positive feedback we have gotten from guests across all our geographies as they return to the wild. While the momentum is generally positive in terms of various geographies reopening, there are still challenges, which prevent us from running at historic business volumes. We have temporarily reduced the number of cabins for sale out of an abundance of caution. And as I mentioned earlier, not all destinations are receiving visitors just yet. We are working diligently to reactivate additional itineraries with a significant focus on Antarctica, where the season for Lindblad sailing is scheduled to begin in November. Another challenge is that there is also some hesitancy among some Americans to travel outside the country today. The good news is that these guests remain booked with us, they are just pushing their trips to later dates when they feel they will be more comfortable to travel globally. From a booking standpoint, we have seen sustained strong production over the last few months. Bookings for 2022 are at historic levels with more revenue booked at this point for travel in the upcoming year than ever before. We are keeping a close eye on the potential COVID Delta variant impact. But as of today, reservations continue to pace strongly ahead of the same point 2 years ago prior to COVID. This booking strength is not limited to our ship-based business. We are seeing significant demand at Natural Habitat, which is particularly pleased that the Canadian government has allowed a return of tourism, which means we will be able to begin running our Polar bear trips later this year. We are also seeing strength at our two recent acquisitions. Off the Beaten Path is especially strong given their focus on U.S. National Park destinations, and DuVine is seeing strong bookings for future travel globally while also expanding their U.S. trips in the short-term. Both of these acquisitions have also already begun to benefit from cross-marketing synergies, and each are well-positioned to grow as we leverage the scale of our business with their wide addressable markets. I have spent time with each of the dynamic and entrepreneurial leaders of these businesses and look forward to working with each of them to maximize these unique opportunities. As we look towards the future, I am very optimistic. In the short-term, we will continue to main austerity on costs to ensure that our liquidity position remains healthy. We certainly believe that demand for experiential travel will only grow moving forward, and Lindblad is poised to once again capitalize on this opportunity. Aside from a proven track record of delivering amazing experiences for the past 4 decades, we emerged with 2 new state-of-the-art ships, which will increase our available guest nights by well over 30% from 2019 levels once they are being fully utilized. Plus, we have an expanded product portfolio with amazing experiences across ships, land, bikes and U.S. National Parks. I also look forward to dedicating time with our team to further codify and enhance our growth strategy in the coming months. Although, I think it would be premature for me to provide any great detail on my initial strategic thoughts. You can expect that we will be evaluating a number of growth dimensions that build upon our history of adding ships and acquiring synergistic companies in the adventure travel marketplace. My first lens is to think deeply about our guests and what would enhance their life experiences. And I believe there is significant opportunity to build upon our existing businesses and expand our addressable market of guests across the world. Lastly, I'm optimistic about how our investments in technology will enhance future guest experiences and help us grow as a company. As has been discussed previously, we are in the process of driving a digital transformation within the company focused on upgrading our website, evolving our reservation system, advancing our CRM capabilities and creating the architecture of linking each of the companies under the Lindblad banner. In closing, I'm honored to be a member of this very fine team, here at Lindblad Expeditions. We have a great deal of work to do as we recover from the pandemic impact, but I am really optimistic about the future. The foundations of the company are strong from both a financial and operational standpoint, and we see many opportunities to grow and innovate in the coming years. I look forward to sharing our plans and our progress at regular intervals with all of you as time goes by. Thanks for your time this morning. And now let me turn the call over to Craig.
Craig Felenstein: Thanks, Dolf. Before I dive in, let me once again thank our dedicated crew across the world as well as our diligent office personnel for their sustained resiliency and for their commitment in preparing us to return to operations while preserving capital whenever possible. It is extremely exciting to represent the operations, and we do so as a strong and vibrant company, due in large part to the comprehensive plan we put in place back in March of 2020 to reduce costs and further fortify our liquidity position. While it will take some time to fully regain the momentum we were generating when we paused operations, the investments we have made during the pandemic to expand our fleet capacity and diversify our product offerings positions us to drive significant growth over the next few years as we capitalize on the growing demand for authentic adventure travel. And in the short term, we have ample liquidity to ramp up operations and weather any immediate uncertainties while still having the flexibility to explore additional growth opportunities. We ended the second quarter with $160 million in unrestricted cash and $43 million in restricted cash, primarily related to deposits on voyages that originate in the United States. The $203 million of total cash is a $17 million increase over where we ended Q1 2021 and was driven in large part by final guest payments for upcoming voyages and guest deposits for future travel as well as from the company's continued focus on cash preservation measures. As expected, operating cash usage increased during the quarter as we launched itineraries, prepared additional shifts for sailing and increased marketing spend to drive future bookings. In addition to cash used directly in operations, spending during the quarter included CapEx of $6 million, net of export credit funding, primarily due to build costs associated with the resolution and dry dock spending for the U.S. fleet and $8 million in principal, interest and financing payments. Moving forward, our monthly operating cash usage will increase as we return additional ships to service, market upcoming expeditions, spend on our digital transformation project and increase office staff as needed. At the same time, we anticipate a continued ramp in cash inflows from final payments for upcoming voyages and deposits related to new reservations for future travel. We will continue to monitor our spend in correlation to our operational status and will adjust spending as necessary moving forward. Turning to the P&L. Lindblad delivered second quarter revenue of $15.3 million, which included $6.7 million at the Lindblad segment from operating ships in Alaska and the Galapagos during the month of June and $8.6 million at our Land Experiences segment, including trips during the second quarter to Africa and Costa Rica at Natural Habitat, Yellow Stone and Yosemite National Parks at Off the Beaten Path and bike trips in California, Maine and parts of Europe at DuVine. Revenues are expected to ramp further during the third quarter with additional ships operating itineraries and a wider array of land trips. EBITDA loss of $23 million during the second quarter improved $2.5 million versus the second quarter a year ago, and the revenue generated was partially offset by a 53% increase in operating expenses for depreciation and amortization, interest and taxes. The higher cost base was led by a 52% increase in cost of tours, primarily related to restarting ship expeditions and operating additional land-based trips. The increase in cost of tours also included increased dry docking crew costs as we prepared additional ships for operations as well as operating costs for Off the Beaten path and DuVine, which were acquired during the first quarter of 2021. Sales and marketing costs increased 46% versus the second quarter a year ago as we increased spending to drive future bookings, focusing on digital targeting and social opportunities as well as increased outreach through trade advertising and travel advisers. We have also further ramped up spending on our digital transformation initiatives, including the launch of our new website in April and further development of our CRM capabilities. G&A spending increased 56%, excluding stock-based compensation versus the second quarter a year ago, primarily due to higher credit card commissions related to final payments for upcoming itineraries and increased deposits on new reservations for future travel. We are also incurring higher personnel costs as we return office personnel from furlough, along with the ramp in operations. Turning to current booking trends. Demand for travel continues to accelerate, and we are seeing sustained momentum across the fleet. Bookings for 2022 are currently 36% ahead of where we were for 2021 at the same time a year ago and 36% ahead of 2020 at the same point 2 years ago. The strong year-on-year trends include guests on canceled voyages that have opted to reschedule, but they only make up about 20% of our bookings for 2022. There is no question that there is significant pent-up demand to get out and explore the world's amazing geographies. And as more destinations open to travel, we expect to secure additional bookings for both 2021 and 2022. Looking at our debt obligations, we ended the second quarter with $515 million in principal outstanding, an increase of $17 million from the end of Q1, primarily reflecting $15.5 million in borrowings under our export credit agreement during April 2021 for the fourth installment payment on the National Geographic Resolution. Our final payment under the ship build contract of approximately $47 million will be drawn upon delivery, which is still anticipated to be during the fourth quarter of this year and will be covered under our export credit facility. With regards to our leverage covenants, the company has continued to work with its lenders, and during the quarter, further amended its existing term, revolver and export credit facilities to suspend leverage ratio covenants through March 31, 2022. Additionally, we deferred all principal payments on our export credit facilities through the end of the year. With the resumption of marine expeditions now a reality, the steps we have taken over the past year to increase our liquidity runway and enhance our existing operations, while expanding our product platform, has enabled us to emerge from the pandemic as a strong company. And while it will take some time to return to full operations, we are poised to regain the momentum we were generating prior to the pandemic and excited to take further advantage of the growing demand for experiential travel to deliver strong returns and build additional shareholder value in the years to come. Thank you very much for your time this morning. And now Dolf, Sven and I would be happy to answer any questions you may have.
Operator:  Our first question is from Steve Wieczynski of Stifel. Please go ahead.
Steve Wieczynski: So Craig, this will probably be for you, but is there any way you can kind of help us think about how that $23 million EBITDA loss in the quarter looked on a monthly basis? And you could probably see where I'm going with this question, but trying to figure out if June was closer to breakeven point from an EBITDA perspective? Or maybe you can even help us think about what July looked like? And then based on what you're seeing today, if things stay status quo, would you imagine that you guys would be cash flow or EBITDA positive sometime in the near future?
Craig Felenstein: Sure, thanks for the question, Steve. So obviously, we're not going to break out by months. But certainly, June was the lowest loss month of the quarter that we had, given the revenues that we generated during the quarter. One of the things that you have to be cognizant of right now is that there are some costs that we incur ahead of sailing so throughout June and frankly throughout a big portion of July. We're still prepping ships to begin launch, and that includes doing obviously any dry docks that are necessary on those ships, but also bringing crew back, making sure they're all vaccinated, bringing office personnel back, making sure that they're all vaccinated and ready to go as well. So there is a fair amount of cost that take place ahead of operations. While I would love to sit here and tell you when we're going to reach EBITDA positive or cash flow positive on an operations basis. There is still so many question marks, and it's really hard to answer. So for example, certain geographies, which aren't open, we don't know specifically when we'll be able to go to certain - those geographies. Certainly guest demand, when we look out to the rest of the year has still got some uncertainty to it, specifically more for 2021 than for 2022. But all in all, obviously the company is heading in the right direction. And as long as the geographies that we plan on operating in open up over the next several months, we do feel we'll be able to reach cash flow breakeven and EBITDA positivity within a short period of time.
Steve Wieczynski: Okay, thanks for that. Second question, you talked - you actually hit it a little bit. But the excess costs that are embedded right now, given the restart phase and I guess, I would think that we have to assume over the next six months, over the next 6 months, you're going to see all kinds of ships probably in your itineraries and whatnot? And so is the right way we should be thinking about kind of the current expense run rate as kind of take what we witnessed or what you guys witnessed in the second quarter and kind of push that into our models for the foreseeable future?
Craig Felenstein: No, I think our cost base will frankly ratchet it up, right. Because when you look at what's happened in the June quarter for example, we only had four ships really operating in June. And two of those didn't really start till the end of June sorry, one of those didn't really start till the end of June. So we only had three ships really operating fully for the month of June. And now to Dolf's point, we have eight of nine ships really operational by the end of July. So the cost to get those ships ready for July will be significant. And then hopefully, when you're looking at August, you're going to have a full month of operating a bunch of ships and that comes along the cost base as well. At the same time, we are continuing to ratchet up spending on marketing as we look to drive the coffers further in 2022. And that has a cost that goes along with it. And then lastly, when you look at all these payments that are coming in for future travel and all these deposits that are coming in for future travel even further out, those come with credit card commissions, right. We have to pay those commissions, and it's a good cost to have going out the door because you're spending money on future revenues. So you will see a ratchet up in cost base. And I do think that when you look out towards the end of the second quarter - sorry, the end of the third quarter. You're going to be reaching levels that you were similar to back in 2019 when you were operating the fleet. And on top of that, to keep providing some more color, we have an additional ship the Endurance, which obviously has additional costs. So when you think about our fleet and you think about the third quarter, you're looking at higher costs just because of the nature of restarting operations and additional ships in operation.
Steve Wieczynski: Okay, that's great color, Craig thanks. And then maybe if I can ask one more quick one, so when you look at the bookings that you guys have taken over the past couple of months, is there any way to help us think about who are booking these cruises so to speak? And I'm just trying to get at, is it pretty much all repeat customers or have you seen new to brand?
Craig Felenstein: Yes, it's been fairly interesting. So obviously, throughout 2022 it was such a weird year. So it was hard to take too much away from the booking patterns. But what you see once the page turned to 2021, is that first timers are new to book has really ratcheted up, starting in January, and has continued to grow really through the, I would say, the end of June and even into July. So we are seeing some really nice trend on what I would call first timers. But at the same time, our loyal guests remain very, very loyal. And we're seeing, especially those folks who had voyages that were canceled and then had a reschedule. Those folks have stayed and drove. So the mix is actually really strong right now between new and old, and we hope to see that continue as we move forward.
Operator: The next question is from Tyler Batory of Janney. Please go ahead.
Unidentified Analyst: Hi good morning, this is Jonathan on for Tyler. Thanks for taking our questions and congrats on the return to sailing. First one for me Craig, you highlighted in the prepared remarks that the booking demand and pent-up leisure demand that you're seeing out there. Just curious how you see the pricing environment evolving over the next couple of years with that? And I know people sign up with some lead time, but given that the demand seem so strong right now, maybe you could provide some color on how aggressive you want to be pushing yields in 2022 and 2023?
Craig Felenstein: Sure, so the way I, always look at the business and maybe Dolf can provide a little bit of color, is we look at it from the perspective of there is multiple drivers here, right. You have the driver of additional price. You have the driver of additional occupancy and you have the driver of additional nights overall. And right now, when you think about our fleet, we've added from 2019 to ultimately when we add the Resolution at the end of this year. We'll have added over 16% more inventory to our fleet than we had previously. That is a pretty massive jump, and we're focused on actually getting that inventory out there and filling it at current prices. If we can do that, the company will have significant growth when you think about 2019 to where we are today. Furthermore, we'll continue to look to drive further occupancy within those existing inventory. So I think price, when you think about it today, is already at a very high price point with regards to the industry. So while we will take a look at price opportunities where we can, the reality is today, we're focused on adding additional inventory and filling that inventory.
Dolf Berle: Yes, thanks, Craig. I don't have anything to add on that.
Unidentified Analyst: Okay thank you, that's very helpful. And then Dolf, you highlighted in your prepared remarks, some of the guest feedback, I believe it was related to the Endurance. I'm curious what you guys are hearing from the rest of the ships that the four ships that have sailed or were sailing in June and early July?
Dolf Berle: Yes, I'm happy to do that and I'd love for Sven to share a little bit also on his specific experience on the Endurance. But over the years, the company has I think, done a nice job of getting - get feedback, which are surveys that each of the guest fill out prior to leaving the ship. And we are seeing at/or higher than previous levels in terms of the feedback. And I think that's for a couple of reasons. I do think that guests are excited to be back and some of the pent-up demand that we anticipated has come true. And some of that is an emotional pent-up sort of excitement to get back out into the wild and experience things that are so remarkable. And so, we've had really strong guest feedback. And I think by way of background, the company did a very nice job of ensuring that we had proof-of-concept, practice runs with the ships prior to going live. And so the standard for the guest experience was one that was as high as ever. And so that was a strong return. And because we have the benefit of Sven here, and Sven actually has spent a little bit of time on the Endurance, I think it would be good for him to share a little bit about that experience. And it was actually many of our legacy guests, some of whom had 20-plus voyages behind them who joined him on that voyage so Sven, perhaps a few words on the Endurance.
Sven Lindblad: Yes, well just - so in June, because I think this is an important point to make, in June I went on the first voyage of the Sea Bird, our smallest, simplest ship. And now in July, I went on the National Geographic Endurance, our most sophisticated ship. And there were two guests that had been on both of those voyages. And what I thought was interesting and palpable was that these people and many others I have met over the years find both of these extremes equally interesting. From a perspective of each is pertinent where it operates. So if you're in Southeast Alaska, a small ship like the Sea Bird is way more suitable than the National Geographic Endurance. If you're in the North Sea and Greenland, the National Geographic Endurance is way more suitable than the Sea Bird. So I'm really delighted that our fleet is quite diverse. And while we're raising the standard on these newer ships, it does not devalue the older ships where they are used. And I think that's a really interesting circumstance. The Endurance however, I have to say, is the most extraordinary ship I've ever set foot on, on any possible level. From the perspective of its expedition excellence, we launched 15 Zodiacs - sorry, 10 Zodiac in 15 minutes. Now that may not mean a lot to you folks on the phone off hand, but that is extraordinary in terms of being able to deliver, to be able to get somewhere, launch the boats, get people out. And the ship is so quiet, you don't even know you're moving. It's fast, it can maneuver on a dime, and it is the most comfortable ship you could possibly imagine, with lots and lots of diverse spaces aboard. So this is definitely, from the perspective of Bluewater ships, creating a totally new standard, and there is no ship out there, in my view, in the Expedition space that comes close to being as extraordinary as this vessel from the perspective of Expedition Excellence/Elegance.
Unidentified Analyst: Thanks, I think it was very helpful.
Dolf Berle: Okay. Go ahead.
Unidentified Analyst: Okay, thank you for all the color. That's all from me.
Craig Felenstein: Thanks Jonathan.
Operator:  The next question is from Chris Woronka of Deutsche Bank. Please go ahead.
Chris Woronka: Thanks for all the details so far. I was hoping you could talk a little bit about in some of the markets where you haven't been able to get back to yet with restrictions. How much lead time do you get in terms of those restrictions being implemented I mean, I'm just trying to get a sense for how much visibility you have into whether it's later this year or early next year? How quickly some of these restrictions change and how that impacts your ability to kind of plan these itineraries where you have to make modifications?
Sven Lindblad: Sure, Sven here. So it's very dynamic, and it's changing on a daily basis all over the world. And so we, are having to pivot really fast on many occasions. But what we're finding is that there are people out there that are so anxious to travel, and they will make decisions at such short notice. I mean when we pivoted from the Northeast Passage to Iceland and Greenland, I mean people came immediately. I mean, not only the people who were on the first trip, but we've got very good occupancies on all our Icelandic programs with a month or two notice, which is unheard of in normal conditions, I think to this degree, right. So, but we know very specifically what countries matter to us. And right now, going into the winter or going into the fourth quarter, a lot of the countries don't matter so much to us. Like Norway, Russia doesn't matter. These are critical countries in the second or more importantly, in the third quarters. So we're focused really on a couple of geographies that sort of matter at this point and we feel optimistic about those. And then when we - what's really important is that by next year, Q2, Q3, the countries like Norway, Britain, Russia, Greenland, Iceland are open for business, and we believe they will be, right.
Dolf Berle: This is Dolf. And we're in regular contacts with all these authorities across the world. And what that allows us to do is get a sense of directionally what's happening. I think the quicker pivots that we've seen, that Sven mentioned, really relates to activities surrounding COVID. And so, if there is a surge of cases or an outbreak related to the Delta variant in a, certain geography and the government, therefore, takes swift action, we're affected by that. And that goes both ways for us. That can be something that might cause us to amend an itinerary and make a change or it perhaps opens up a new area. And so the key for us is being very close to what's happening on the ground in these geographies. And then as Sven said, we have these priorities, which relate to the established routes that we have and the known geographies and the ones that our guests are most fond of, and we focus on those primarily. And so as you said, Antarctica is really the focus today.
Chris Woronka: Okay great, that's helpful. And then a question probably for Craig, Craig, is there any way to - when we think about this EBITDA and you have these incremental expenses that are happening now, is there a way to triangulate at what point we get back to breakeven, whether it's a number of ships or percentage of inventory you have? Or of just number of months that you're operational at a certain percentage and then second to that is, if we assume that we're basically back to fully normal next year with all your capacity, is there any reason to think margins wouldn't be higher than they were in 2019 with all the inventory out there?
Craig Felenstein: Sure, let me start with the first question. It's really a difficult question to answer because there's so much variability with regards to what each of these ships at least requires to get started again and also how the operational realities are, in each, geography. Let me give you an example. Right now, if we are able to operate our Antarctica season, there is a high likelihood that we will be using charter aircraft to fly folks down to Antarctica. That changes the cost structure certainly moving forward and changes the cost structure of the overall organization. It's certainly still profitable for us, but it's certainly not profitable at the same level that it would have been previously. So there's a variety of factors that go into this. So it's really hard for me to say that at ex percent of occupancy won't be profitable as a company because there's not a new normal right now. And certainly, when you think about it on a ship level, what I will say, on an overall ship basis, each ship can be profitable anywhere from 40% plus occupancy in most, geographies. So we feel that getting the ships back in the water will certainly allow us to be profitable from a ship level perspective, but certainly having enough scale to have all these ships in the water will allow us to get there from a company perspective. In terms of 2022 and margins looking forward, it's hard to say for 2022 because, again, 2022 still will have some of the challenges with regards to Antarctica potentially from a charter perspective and certain geographies still may not be open. That said, I would fully expect that when we get all the way back to having all our ships in the water, the way they're supposed to be in the water, and we have occupancies at the levels that they're supposed to be at. That we will continue to see margin expansion of the company moving forward as we expand our fleet. Because we're expanding our fleet, we get certain economies of scale that obviously don't sit there when you're at only six or seven ships. So when we have 10 ships in the water, four of which are Bluewater ships, we fully expect the realities of our margins to increase over time.
Operator: Thank you. The next question is from Alex Fuhrman of Craig-Hallum. Please go ahead.
Alex Fuhrman: Great, thanks very much for taking my question. Can you talk a little bit more about who's been booking on your upcoming voyages, and looking into 2022? Does your mix of new versus returning customers look similar today as it did before the pandemic?
Craig Felenstein: Yes. I would say today, it's still skewed a little bit more towards returning guests, not surprising, obviously, because those folks certainly understand what it is we do and how we operate, because they've done it many of them many, many times. But we have been very, very pleased with the ramp-up in first time guests. And part of that also will be, as people get more and more comfortable traveling internationally, first timers tend to be less comfortable with that, whereas returning guests feel very comfortable. They've been on our ships. They know how easy it is for us to - what I would say is operating it by - safely as possible, whereas if you haven't been on one of our ships, it's hard to really understand how they and work and how they operate. So I think you'll continue to see the first timers ratchet up. But in the short-term, I certainly expect the repeat guest to still be the lion's share of what we're doing here.
Alex Fuhrman: Okay, that's really helpful. And then I know it's obviously really early, but it sounds like a lot of people are interested in itineraries that are even further out, are you starting to get a lot of bookings for 2023 and anything there that you can share with us?
Craig Felenstein: Yes, we have started to see a fair amount of bookings for 2023. But frankly, it's not that dissimilar than what it would have been two years ago. We tend to get a significant amount of bookings for several years out as people plan these significant experiences, these significant expeditions. So the levels that we're seeing today for 2023 are not that dissimilar. They're higher, because we have more, inventory so that's expected, but overall, the demand for 2023 is very similar. What's been interesting right now is the significant demand that we're seeing for 2022, and that continues to ratchet up very, very quickly.
Operator: Thank you very much. This concludes our question-and-answer session. And I would now like to turn the conference over to Craig Felenstein for some closing remarks.
Craig Felenstein: Thank you everybody, for joining us this morning. We appreciate your time, and if you have any follow-up questions, please reach out, and we'll be happy to set up time to do. Thank you.
Operator: Thank you very much, sir. Ladies and gentlemen, that concludes this event. Thank you for attending today's presentation and you may now disconnect your lines.